Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to Marfrig Global Foods S.A. conference call to present and discuss its results for third quarter of 2014. The audio for this conference is being broadcast simultaneously through the Internet in the website, marfrig.com.br/ir. In that address, you can also find the slideshow presentation, available for download. We inform that all participants will only be able to listen to the conference call during the company’s presentation. After the company’s remarks are over, there will be a Q&A period. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Marfrig’s management, and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties, and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Marfrig, and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Sergio Rial, Marfrig Global Foods CEO. Please Mr. Sergio, you may now begin the conference.
Sergio Agapito Lires Rial: A very good morning. Thanks for attending our conference call this morning. I have the pleasure to have, together with me here, beside the Group CFO, Ricardo Florence, I have the CEO of Moy Park, Janet McCollum, and I also have the CEO of Keystone, Frank Ravndal, who will, together with me and Ricardo, be talking particularly around the businesses they are leading. So I’m really pleased to have both of them this time with us. So let’s start getting to the results for the third quarter. And I would start with slide 2, that what I’d like to share with the market a couple of things. So another quarter of consistent performance, with the exception of Keystone; clearly having a more challenging quarter, and we will explain more in detail. But a quarter where I think the company has, one more time, reinforced its commitment to free cash flow. So we were able to generate R$84 million, despite a very significant push towards exports in Marfrig Beef Brazil, which, as you very well know, does put an additional burden, from a working capital point of view. And also, some one-offs related to a local federal tax program that we have decided to adhere, which we call locally REFIS, which led us to have a disbursement in the second half of this year of about R$93 million, part of which already expensed in the third quarter. So also, from a cash flow point of view, a negative impact there. Despite a clearly more prolonged export flow, and also the one-off tax-related program that we have accepted, and we’ll talk more about it later on, we were able to generate the R$84 million that I mentioned, bringing the overall number to R$71 million. And I think that’s very important. I can understand that it sounds – it’s certainly not a very significant number, but it is a significant number from where we are coming from. I think the delta, the variance of where we were in 2013 and 2012 to where we are today, is absolutely a milestone that I think the team is extremely proudly of. The other piece that I think we’ve started showing some clear and tangible results is what we call our productivity agenda for Marfrig Beef in Brazil. In a segment where we are also, on one side, completely convinced of the opportunities in the animal protein space, they are real, they exist, and we’re going to talk more about it. But at the same time, cattle prices have also increased double-digits, almost quarter after quarter, in reals. So we started a real, clear, structured process in the early part of 2014 to address our infrastructure in Brazil that is more than just cutting costs. It’s about redesigning, rethinking from process design, but also from the way we are actually managing and industrializing the cattle numbers that we’re bringing every quarter. The third quarter has been a record quarter in terms of slaughtering. We slaughtered over 650,000 animals. That’s certainly a record for the history of Marfrig. And on top of that, we certainly reached – 45% of what we did in Brazil was destined to international markets, of which, again, we are very, very proud. Slide 3, guidance targets, our commitment to all of you, we are on track. And I think, again, it is important. And the challenge from an operating performance point of view, this another, again, clear, good operating quarter; and the negative side, which we’re going to talk more about it, is certainly the short-term impact, the 11% exchange devaluation of the real has had on our net debt, which we’re going to talk about it; and how important that is as I sit here and look towards the future. Sp we have reached all targets. If I look at net revenue, I’m still very comfortable that we will hit between R$21 billion and R$23 billion. Remember that we are talking about a quarter where the operating performance of the company was really measured and valued at an average real of R$2.28; while the balance sheet, particularly the debt side, has been basically revalued, where it should be, which is the last exchange rate of the quarter, which was R$2.45. So there’s a bit of a mismatch when you look at the balance sheet and when you look at the flows. It is what it is. But my only point here on the net revenues is more that the average foreign exchange level for the fourth quarter will certainly be different than R$2.28. The real has almost reached R$2.60 today, so it’s certainly going to be in the range of R$2.40-plus, going forward, which, hopefully, we’re going to be able to show the market how correlated we are with the weaker real. So a weaker real, for us, it’s absolutely positive. In the first moment, we only see the negative impact on the debt, but the market hasn’t yet seen the possible positive impact on the operating flows, including the EBITDA. So CapEx is there, that we are on track. And we will deliver guidance, for a company where many people didn’t have a lot of faith, that we’d be able to meet the targets, as we have articulated them back in 2013. Slide 4, net revenue grow 6%. R$5.2 billion, it is the highest revenue line for the year. But I would be expecting certainly a higher number for the fourth quarter. So I would expect this is not yet the top of what Marfrig can do in terms of revenue. And I think here what you see is both Brazil beef and Moy Park adding to the thrust of the revenue growth. On slide 5, pleased to see that our EBITDA has been above market consensus. So we have reached R$4.35 million; again, very much helped for this quarter by beef in South America and Moy Park. And very important – really very important to mention is the fact that all businesses, all businesses are today above 7% EBITDA margin. Slide 6, another couple of points that I think we like to share with the market. First, two upgrades, both from Standard & Poor’s and Fitch, basically reaffirming and – sending clear signals that we are on the right rack in terms of what we are doing with the balance sheet, with the capital structure of the company. As mentioned before, this is the quarter also where we certainly have the impact of a non-cash foreign exchange impact on the debt. So the net debt, in real, does move from R$6.7 billion to R$7.5 billion. In dollars, it remains unchanged. So it depends very much how you want to see it. I mean, real, without a doubt, I mean, we have seen an 11% increase. And again, I’d like to remind that we haven’t seen yet impact – positive impact on the EBITDA numbers, as of yet. Short-term debt remains under 12%. And I think what is important here, and I’m going to just spend a little – two minutes, because this is something that is very familiar to the Brazilian audience, but not necessarily to the foreign audience. I mean, the Brazilian Government has basically reached out to the public in general, to the corporate world in Brazil, to basically say, well, all your disputes at the federal tax level, so taxes that are only related to the federal tax, all these disputes, if you want to stop disputing them in court, which many companies in Brazil do, and are, we are prepared to offer a long-term program to settle all that in 180-plus months. So it’s a long period. And we basically said, although most of those issues would be remote, in our assessment, I believe, and so does the rest of the management team, it’s better to basically bring it to zero, which basically means eliminate altogether any disputes that would still be on the company’s balance sheet at the federal tax level. So we have basically accepted what we call the REFIS program. With that, we basically will be able to do, which is over the period in which those payments are going to be happening, we’re going to be using around R$600 million of tax credit that are today sit in our balance sheet. And they will, over time, be reduced as this payment flow continuous. So I find that to be two things: one, we eliminate all risks related to the federal tax from Marfrig’s balance sheets; two, we’re going to be, over time, able to reduce those tax credits, which are only a federal nature, by R$600 million over time. The counter-aspect of what I’ve just said is, of course, we have to make an extra payment of R$93 million for the second half, part of it already expensed in the third quarter, as mentioned before; not helping free cash flow for the year. But despite all that, again, delivering free cash flow. So this is the right decision from a balance sheet point of view, and certainly from a tax-management point of view. We’re really happy that we – the Board and the rest of the team endorsed that decision. Slide 7, we like the fact that, I think, the market is absolutely monitoring us much closer. Not only that, but that we also – the communication between Marfrig and the rest of the market is certainly better. I mean you do not see a significant deviation from performance to what the market is actually saying. With the exception, but it’s always a good exception, to see that we are above the consensus on adjusted EBITDA and also above consensus on margin. Now, on the financial performance, on slide 8, as mentioned, R$5.2 billion on revenue. This is not the highest number we’re going to achieve for the year, but in the right trajectory, in the right pattern; helped, as clearly spelled out on the slide, by Moy Park. Part of it is clearly on the back of translation, currency translation; but also, by some real growth in the retail channel in particular; and also, through consolidation of beef sales of Marfrig in Europe into their numbers. Remember that Moy Park, we always said Moy Park would become our commercial platform in Europe, and you are seeing that now happening more from an accounting point of view, as well. Keystone certainly had a challenging quarter. I will wait a little bit more for Frank to comment. But some of it will be very well explained, and I think you’re going to be able to understand Keystone in that respect. And Marfrig Beef, we did cover two very important aspects: a higher export orientation, on the back also of much more significant cost containment. Gross margin, on slide 9, nothing to report differently. So we are between 12% and 13%. Hopefully, we’re going to be working on that going forward. But pleased to see not much of a variation there. So I think that, in itself, is good. And I think if I look forward, with a different currency environment in Brazil, I would expect the company, from a margin point of view, to continue expand the margin, as we have laid out on our Focus to Win plan. Slide 10 is one that we are proud, because not only we’re doing what we were supposed to do, but we’re also a little bit different than some of the other companies in the sector in Brazil, in the beef space in Brazil. I think we’re the only company that has shown an SG&A containment for the third quarter. All the other companies in the sector have shown expanded SG&A relative to their revenue line. So I think we have done here two things. We certainly have expanded the revenue line. But, more importantly, we have contracted smartly our SG&A in, roughly, 50 basis points. So we were able to monetize R$13 million already in the third quarter, out of a target, annual target, that we have laid out for the market of R$13 million. I believe we’re going to be able to do more than that. It’s too early to start establishing a new number. So let’s deliver the R$13 million annually and then re-underwrite eventually a different number. But we are ambitious; we would like to see more. And Andrew Murchie, who is the CEO of the beef business in Brazil, with his team, very, very committed. Because they understand, there are very few things we can control. When cattle prices are increasing double-digit every quarter, and we’re not in control of our prices at the end level, so we’ve got to control and look at our industrial footprint, and everything that is beneath, to see how we can at least create a cushion for continued higher cattle prices. What we have been doing on slide 11, we start this process back in the early part of 2014, so this is not something that it’s a short-term reaction. So we are not just reacting to cattle prices being significantly higher; we actually anticipated that cattle prices would continue to be on the rise. It’s just one just needs to see supply-and-demand equation of beef in the world. So it didn’t take a lot of intelligence to understand that prices would only go one direction, which will be higher. So we started, basically, saying what can we do? What can we do to anticipate what’s coming our way? So we started with the diagnosis, analysis, and we actually started putting execution, really, it’s from July; and we are seeing some of that execution already coming our way in the third quarter of 2014. We’re giving you a couple of examples here of what we’re actually doing. It all sounds pretty simple, but it’s pretty complex when you’re dealing with 19,000 people and a number of plants throughout the country. So it’s pretty complex because you really have to go to a level of granularity that, it’s not only difficult, but more importantly, is to execute and monitor. This is not a one-off. This is not an approach of dieting. This is an approach of making the business stronger and from a cost management point of view, far more than I think some of our competitors in the space. This is something that we truly believe that will create differentiation for us. And I think you can see that in a way on the same slide, on slide 10, which gives you a clear direction of where we’re going with that. Now moving to the liquidity and debt side, I will do this slide, and then I will pass the word to Ricardo on the financial piece. But very clearly here, it’s self-explanatory. Net debt does increase on the back of 11% de-val of the real. Does that concern me? Well, I don’t like to see this, what I would call, pretty important movement, 11% in a quarter. It’s a pretty sizable movement from a foreign exchange point of view. It doesn’t concern me in a way because we are very positively correlated to a weaker real. But, hopefully we’re going to be able to show that in the quarters to come. So the risk here is to really have a sort of knee-jerk reaction and only seeing the balance sheet correction at R$2.45 and not really taking the time to understand that the flows of Marfrig of the third quarter were really valued then at R$2.28. So there is a clear mismatch between how we are valuing the balance sheet, which is driven out of accounting, that’s the way it should be, and the way the flows out of the three businesses have been valued in the third quarter. We’re going to get benefit of straight translation out of Moy Park and Keystone for fourth quarter without even doing anything. So that’s just a tangible benefit that comes on the back of currency translation. And then, we are going to get some of the benefit of a much more export-oriented Marfrig Beef Brazil with a different exchange rate than R$2.28, which we have experienced in the third quarter. With that, I’d pass to Ricardo. Ricardo, slide 14.
Ricardo Florence dos Santos: Okay. Thanks Sergio. Well, it’s important that in the slide, you see that we have had a stable net debt in U.S. dollars during all the year. This level of R$3.1 billion that we currently have is the same one that we had in the second quarter. If we go to the next page, page number 15, and with the same test that we have done in all the previous quarters. I mean, dividing the net debt by the NOIs, adjusted EBITDA, we have the level of 4.3 times even considering that this EBITDA of the third quarter was still at a level of R$2.28, and not at the same level of the net debt that at the quarter-end, it was at R$2.45. We have kept a very good liquidity of 2.2 times, less than 15% of our debt. It is, in the short term, showing the importance that we have given to this structure of the capital of the company. Hence, it’s importance also to notice that the contracts that we have with banks and all, the marketing regarding the leverage of the company, they consider that the effects of the exchange variation excluding them from the calculation of the leverage. You can do the calculation on the [slide] [ph] for this purpose, the leverage is 3.6 times. Go into the next page, page number 16, this is how it looks like, the maturity schedule of the company. No peak ahead of us until 2018. The exercise of liability management that we have done, in this year, they have been able to basically increase the duration of our financing. As the same time in that, we have had a decrease in the average coupon that we have in the senior notes. Going to the cash flow operation, on the cash flow briefs that you can see on page number 17, one of the largest work that we have had, it has been on the working capital management. In this particular quarter, we’ve been able to improve it by R$ 40 million, in which the main causes were the improvements in trade accounts receivables, which is a combination of the receivable terms falling from 28 days to 27 days in the third quarter, I mean comparing the second with the third quarter. It’s true that we had an increase in inventories both in China and also in Brazil as a consequence of increase in cattle costs. But we’ve been able to offset them, based on these reasons that I just explained to you. This other here, they are most related to market transactions such as swap and commodity contracts. We were very disciplined on the execution on the CapEx. Accumulated figures, we have, at this point, R$447 million executed in the year; R$127 in the quarter and a cash disbursement of R$252 million in the financial expense, giving us a free cash flow of R$84 million of reals for the quarter. Going to page number 18, that’s the difference between where we were and what we have presented now. Almost one year now of a stable company, and continue – it’s true that at this point, we are just starting to generate free cash flow. But it’s a good pleasure for us to continue to deliver the guidance that we have provided to the market R$84 million. Regarding to the bottom line, we had a net loss of R$303 million, which was caused by the currency variation, which is non-cash; and because of the expenses related to the REFIS program that Sergio explained to you. If it was not because of this, we will be very close to breakeven already in this quarter. Now I pass to Sergio.
Sergio Agapito Lires Rial: Well, thank you, Ricardo. So I think the summary up to now is very steady performance of all businesses. We’re going to get now into more detail of the businesses. Definitely on the free cash flow position, pleased to report, but I guess, I go back to Ricardo’s point, which is let’s pay attention to where we were, and let’s also see where we are which is what I call rebating Marfrig. So the year 2014, it’s a year where we actually rebase the company. We’re in control of the working capital dimension that would allow us to then really move to a more structured deleveraging program, which we’ll talk more about it going forward. The leverage, after the 11% impact of the real, it is what it is. It does not concern us at this point in time, because again, it is management’s belief that the operating performance of the company is highly correlated, on a positive note with a weaker real and hopefully, we’re going to be able to show that in the quarters to come. Having said that, we’re certainly not denying that a 4.3 times leverage, if you look at EBITDA third quarter annualized forward against R$3.1 billion of net debt, it not leveraged. Yes, we’re leveraged, and we certainly will continue paying attention to our capital structure as we have given market signals of that. So we’ll talk more about it. Now, let’s spend some time on the businesses. Because, at the end, it is making sure that the market understands what’s going on in the three businesses. I will certainly spend time more on the beef side, this time. But we’ll start with Moy Park and again, as I mentioned here, we have the pleasure of having Janet together with myself and Janet will walk you through little bit about what happened in the third quarter, but also equally important, what’s going on in Moy Park in 2014. It has been a great year for Moy Park and there’s still fourth quarter ahead of us. So Janet, with you.
Janet McCollum: Thank you, Sergio, and good morning everyone. Moy Park, really pleased to share with the market our continued positive underlying sales growth, and also sustained EBITDA margins, which are above 7%. And you will see that the nine months through 2014 is averaging 7.1%. And a couple of things, first of all, important to highlight in respect of our revenues, which are reaching, in the quarter, a high of R$1,345 million in the quarter and this is demonstrating an underlying 3% a positive sales growth. Firstly, as Sergio has touched upon, as part of our focus to win strategy, we did plan that Moy Park would become Marfrig distribution platform in Europe. And we’re happy to show that in quarter three, we have we have now integrated the Marfrig canned beef business into Moy Park. This does give us a once-off revenue uplift in the quarter, and we will, hopefully, be able to build further on this opportunity, in the future. Our second key growth is we’ve achieved strong growth in our UK and Ireland performance, with revenues growing across our retail fresh poultry and convenience ready-to-eat and coated categories. And this positive growth is reflective of the polarized market growth trends in the UK retail market coupled also with some gains in market share. Our commercial teams are continuing to engage very closely with our customers and helping them to win with consumers, through providing good commercial capability and innovation through development, our consumer insight and our category markets; and helping grow in new channels such as online and convenience stores. This strong growth in UK and Ireland and the new beef business has been partially offset then by price reductions, which is reflective of the favorable grain environment that we see today and also the strengthening of the GB sterling currency relative to the euro, which is reducing the sterling-reported values of our European revenues. If I move on then to our EBITDA performance, adjusted EBITDA in the quarter, you will see reflects R$96 million, which is a margin of 7.1% and increasing 23% up from our quarter three 2013 EBITDA, up 70 basis points. And most importantly, for the third consecutive quarter this year, we’re pleased to share that the business has continued to sustain margins above 7%. This actually gives us an improvement of 110 basis points in our cumulative year-to-date margin of 7.1% when we compare to the prior year cumulative margins. And just to share with you, some of the main factors which are contributing to this margin enhancement, they very much reflect the great efforts of our Moy Park team in improving operational performance. And that’s in such areas such as raw material yield management improvement where we’ve targeted investments in new equipment, have a clear focus on cost control and also in continuous improvement programs, focused on waste and downtime, and that includes also the benefits of our Grantham project. In addition, through great teamwork and enhanced focus we’ve been improving the planning of our birds into our production facilities; and also, increased our production efficiencies through the volume growth through our operations. And you’ll also see some margin benefits attributed to lower grain costs in the period. So we remain very focused on finishing our 2014 with a strong operating results. And I feel comfortable, with the rest of the team that the fourth quarter should continue to reflect strong performance in our EBITDA margin performance As we continue to focus on the customers, in terms of innovation, service, and quality. And Turkey sales should also add to our bottom line in the fourth quarter, along with encouraging favorable grain environment.
Sergio Agapito Lires Rial: Thank you, Janet. That’s very helpful so we’re now moving to slide 21, where we have Keystone. It certainly had a challenging quarter Frank, I'll have now Frank, Keystone CEO to address us.
Frank Ravndal: Thanks, Sergio, and good morning, everyone. It was the challenging quarter overall for Keystone. Revenue was flat from prior quarters, and down close to 5% versus the year earlier period. And that reduction is largely in U.S. And it’s really the result of pricing agreements that we have in place with several large customers, where the cost of raw material, or the feed cost, are passed through to the final price. So as grain prices are down from a year-ago levels, revenue on those sales is reduced as well. Revenue in APMEA was also down slightly as the sales mix was impacted by the incident in late July, involving in a competing protein supplier. Let me take a minute to pocket on that situation and its impact on Keystone. It was a very difficult situation for the industry overall and had immediate impact on consumer confidence and sales with several customers. Following the closure of several of plants of another supplier, we worked very closely with customers to work out new production schedules, to incorporate new SKUs and new volumes and quickly worked to ramp up capacity. And we mobilized a regional and global team from Keystone to help China in that effort. Really, it was really a remarkable team response. I had the opportunity to go out to China on three separate occasions in August and September, and on one of those we visited a facility where we were starting a new – getting new beef capacity online. And just in that room there were several people from Australia, Korea, Thailand, U.S. in addition to a team from China, from a different facility that was there to help that start up. I’m very proud of how our team in APMEA has responded to serve our customers’ needs in a difficult situation. And we’ve picked up volume. And that impact will be seen in more fully in the fourth quarter as customer confidence continues to return. For Keystone overall, sales volume in the quarter grew slightly, with the 6% increase in APMEA, largely offset by a small volume decline in the U.S. due to less promotional activity across our QSR customer base. The EBITDA margin in the quarter was 6.1% which was down from 6.4% a year-ago. The main driver for that change were the higher prices for outside meat purchases that we need to make, remember, we are not 100% vertically integrated in our U.S. operations, as well as the R$2.3 million mark-to-market loss in the quarter, as a result of grain hedges. The high meat prices we have seen over the past five months or six months have eased seasonally in the fourth quarter. Fourth quarter, overall, looks very solid. We are seeing lower prices on the outside meat; we have lower grain costs working their way through our vertical operations in the fourth quarter. And new volumes in APMEA will start to make an impact in the fourth quarter, as consumer confidence continued to build. Though the third quarter’s EBITDA was disappointing, we have achieved the nine-month year-to-date margin of 7.1%. And I’m confident that the fourth quarter will be over 7% as well. Sergio?
Sergio Agapito Lires Rial: Thank you. It’s very good, I would like to thank both of them and certainly recognize the efforts of our international businesses year-to-date, all business above 7%. There is certainly two businesses that a year-ago were more in the 6% range than they were in the 7%. So thanks for –I think it’s a signal of being align and really working on the focus to win strategy. Slide 22, Marfrig beef, very much helpful. Some of the things we already covered. A world that is short beef, demand is clearly there. And yet, in the third quarter we haven’t really fully capitalized, as mentioned before, on a weaker real. So the business has still worked on a R$2.28 exchange rate and hopefully we are going to achieve a better performance, even than we’ve seen in the third quarter, in the fourth quarter, I mean it’s interesting, not so much the shift to exports, but where that meat has gone. We think China, and particularly slash Hong Kong, is already representing a very important destination for our businesses, both in Brazil and Uruguay. I don’t see that trend changing, I really see both the Chinese complex, if you will, becoming a very, very significant destination. And I think we, as Marfrig, have the obligation to do it better than our competitors in Brazil. One, because of what we have in China. We do have an operation, and a good one, which is Keystone. So we have to figure out, how we can rally connect smartly that the critical destination market that it is for beef, for the beef industry overall. And hopefully do better than most of our competitors, trying to address the same market. I don’t think we’re there yet. So we have to figure out. We certainly have established a small commercial team in Shanghai, but that something not going to be enough, in light of the huge opportunities the Chinese market will represent for both Uruguay and Brazil. I’m also really proud of what we’re doing on the back of the things we can control which is so called productivity agenda, as you can clearly see on that slide. So a 10.2% margin, a solid margin there and equally important helping the business, helping Marfrig overall to generate cash. Slide 23, we’re trying to give you – here there are two very important messages. If you look to the right side, the table, Brazil is do not accessing a number of very important key markets. So North America together would be bigger than China in 2015. Of course, all the time, China will take both the North America and will be the biggest importer of meat, red meat in the world, as they have been for most commodities in the world. But it’s still today the combination of U.S., Canada and Mexico would be the biggest destination market and we are seeing signals that things can change, so much so that we have just got signals that Japan may actually open to Uruguay, which for us would be terrific because, not only because we’re the largest company in Uruguay. Because the second, and more important, Japan has the world highest margins for beef business and a market has been traditionally in the hands of American meat packers. So hopefully we’re going to see – unfortunately, we don’t have as much volume as we would like to see out of Uruguay to address Japan but it is just a beginning of a trend that we believe it’s going to be highly positive for Marfrig, and we are certainly well positioned. I would like to offer now we go to slide 26, there are two other slides showing the recognition of the equity markets what we are doing, and also the bonds, that I think are self-explanatory. And we always look at them with a lot of humility, because it’s a lot of work ahead of us So, final remarks. On track, which I think, in itself, is an important achievement, despite sometimes anti-negative sentiments on the macro Brazil. That I, again, we are well positioned 50% our business is in South America, beef and lamb; 50% outside of Brazil, primarily poultry. So we believe we are, from a portfolio point of view, really good; delivering positive free cash flow. It wasn’t that clear, one year ago. Lots of people really raising their eyebrows, can you actually do that for the year 2014? So, so far we’ve been able to do it. And more importantly, the variance from where we were to where we are. we are. A totally different redesigned debt maturity; you have seen that seen that. But more importantly for me it’s operating performance, steady operating performance. All businesses above 7% and I think a uniquely positioned portfolio to capture this high price animal protein space that we we’re going through. Marfrig Beef, for the same reasons I just mentioned, I believe the export orientation should not change. But again, I want to look at that. We don’t have a particular goal that it is going to be x% to export markets. I think we do like to be closer to 50% but we will always try – what is important here is to be flexible and nimble, to really capture where the opportunity is and sometimes the opportunities are in the Food service channel, and there’s more retail channel in Brazil. So this is not about just going all the way to export, this is about balancing the portfolio and creating an infrastructure that’s nimble flexible to really respond to where margins are. This is a classic commodity business that you’ve got to be very up to speed in the way you respond to significant changes of S&D, supply and demand. We are – we still believe there plenty of opportunities to get this business to better, better levels of performance. I absolutely do and whether it’s China with a very significant import pool or other the markets, being the second largest beef company in Brazil and in the third in the world, we have the obligation to lead on a number of fronts and we will. The R$30 million target annually of cost savings is the beginning, it is modest. If we see the R$30 million already achieved in the third quarter, can lead people to say, well, why wouldn’t you revise that? Because just the R$30 million on the annualized basis would be more than R$30 million. Well, we probably will, let’s first deliver what we said we would and then we certainly, we are not going to be afraid of revising the targets. But let’s first have the money in the coffers before we really start reviving it. But what you can count is from my team, including myself, and Marcos Molina for that matter, that that productivity agenda in Brazil is something that is very, very much on top of our minds. Because if there is –one thing we know is one, there is demand for beef two with that, cattle prices are not necessarily going to get cheaper. So we’ve got have cushions around that can really help us to get to levels of profitability and free cash flow than we deserve and certainly shareholders deserve to see. Uruguay, we believe fourth quarter will be even stronger. So I have evidence of October, it’s not the whole quarter, but I feel pretty comfortable that Uruguay will post its best performance in the fourth quarter. And for those who are not familiar with Uruguay accounts, for roughly 28% of total monthly beef – I think solid 20% – approximately 20% of whole Marfrig Beef in Brazil. Cattle prices will not change in the short term. So we will continue monitoring and we are going to try to do the best we can. Keystone Foods, I will just stick to the last bullet point, which Frank was kind enough to share this conviction about fourth quarter, but more importantly there, the fourth quarter, it’s his conviction I think, that this is the business that is structurally now on more of a 7% range and we’ll do whatever we can to continue improving that more to come as we think year 2015 and 2016. Moy Park, the business that we acquired back in 2008 selling £800 million and a business that by the end of this year will be selling – will be having revenues above £1.4 billion. If that’s not a growth story, I don’t what that will be. Without necessarily large positions so this has been a phenomenal organic growth story. Has certainly taken its share of CapEx but it has also delivered. And I think Janet, like Frank, are very much committed to margin expansion and doing the right thing from a growth perspective. Remember focus to aim profitable growth, not just growth. I would like to share with the market the four graphs that you see here at the bottom of page – page 30. There have been questions around Moy Park’s IPO in 2014, I mean we’ve said were exploring raising equity through the subs. Particularly Moy Park was certainly better prepared to do that from an IPO point of view than Keystone. And what we have seen in the UK market in 2014, first of all, very active. A very large number IPOs did happen in the UK, probably more than the combined number of years in the last three or four years. And you see the price dynamic of what happened throughout the year. In the first quarter of 2014, most IPOs were actually priced – more than 50% of those IPOs were actually priced top or above the range. And as move onto the second quarter, things to start changing and in the third quarter where we could potentially be in a position to really access the market, it would have not been the right timing to do it. So the whole thing about IPO on Moy Park, is first – or Keystone for that matter but Moy Park in this particular case is being enabled and today I would say we’re lot more prepared today than we were in beginning of 2014. If you go to slide 31, we do say, and I’d like to reaffirm this to the market, that we will continue looking at smart equity through the subs. If the conditions, as we have seen in the first half of 2014 would repeat in 2015 most likely we would consider very seriously to IPO Moy Park. And we would do it for two very distinctive reasons. One, we do see the growth that Moy Park has had as still to beginning of what can happen in Europe. Europe does boast a phenomenal story of consolidation still. It would allow Moy Park to grow lot faster and, hopefully, also smartly. It would also help us to pay down debt. There has been a report from a sell-side basically saying, well, Marfrig now, because of the 11% de-val on the real, is probably more under pressure to do the IPO of Moy Park, because it’s leverage is 4.8 times, if we just look. So, absolutely not. I’m not particularly concerned about a third quarter 11% impact on the net debt in real of Marfrig, because I know the operating performance will respond to a completely different exchange ratio. We will do the IPO preserving value to Marfrig shareholders, point number one; rebalancing, re-pricing 30% of the Group, which is more or less what Moy Park represents, hopefully, at different multiples; and, more importantly, being completely clear about our growth plan for Moy Park. Going to the market without a very clear growth plan of what we plan to do with equity, it is not the right way to do it. I feel, having reached the end of 2014, I think we have a pretty good idea about, Janet and I, what we could do with the rest of the team at Moy Park in terms of additional growth in Europe. We will remain very focus on the year 2014. We haven’t finished, so we still have to deliver what we said we would do. In terms of final remarks, for the years to come, we’re very close to 2015, we are certainly thinking about construing a two-year plan for 2015 and2016 to give the market a couple of things. First, what we plan to do in terms of operating performance for the three businesses for 2015 and 2016 on a very realistic matter, and base. But also, how would the capital structure of Marfrig evolve in the next two years, until a very important time, which is going to be January 2017, when R$2.1 billion of mandatory converts become equity. From that moment on, we no longer have $100 million of interest expense to carry on. Hopefully, we’re going to be able to show the market a couple of things, what we plan to do additional in terms of operating performance going forward, how it’s going to be our cash flow position in 2015 and 2016. Can we actually see some more cash being generated, to a point that not only we have – because 2014 we have stabilized the Group. But I think the market is probably expecting – [indiscernible] businesses generate more cash, Moy Park, Keystone, and Marfrig Beef, to a point that it can actually signal – the market can at least give some signals of deleveraging. What kind of additional equity can we bring through the subs? That’s an important piece that I think we will have to show, not just talk, and we will do it in a value-accretive way, when the right opportunity comes. With that, I stop so that we allow time for Q&A. Thank you very much.
Operator: Thank you. [Operator Instructions] Our first question comes from Daniel Sensel, JPMorgan.
Daniel Sensel – JPMorgan: Yeah. Hi, good morning. This is Daniel Sensel. You mentioned at the end that the leverage is not that high, especially when you take into consideration that the balance sheet is suffering more of the weak FX. But if we analyze the last quarter, where you had a weaker FX, so your Brazil business had – took the advantage of exporting more, and analyze that, in the quarter your net leverage is still 4 times. So it’s slightly higher to what I think it should be. So on the other hand, we have – there is some pressure on cattle prices, not only Brazil, but also in other regions. The question is have you planned to take any other measures to reduce leverage, just in case there’s no – margins don’t improve as much as you expected? Also, when you’re talking about IPO in Moy Park, what percentage of the company you might be willing to sell to the public? Thank you.
Sergio Agapito Lires Rial: Thank you for your questions. We are a 4-times leveraged company. Whether it’s 4.2 times, 4.3 times – I certainly don’t need to be surgical. So I recognize a 4 times leverage for animal protein business, it is not where I would like to see the Group to be on. Does that concern me right now? Absolutely not. Do I want to see that reducing on a multi-year, which is not going to be five years, but in the next two or three years? Absolutely. So I think I put this point, we are a multi-year deleveraging company, don’t expect big swings in one particular quarter, because it’s just going to happen. What is going to happen is focus on performance, focus on cash flow, focus on reduction of interest expense, and focus on finding equity, if we can, at the right time and at the right level. So we will not do the IPO of Moy Park, because of 4 times leverage. We will do the IPO of Moy Park because we will, and still do, believe in Moy Park’s growth, which over time is good for shareholders and for Marfrig. Two, we will use the Moy Park – eventually IPO, if it happens, to really position part of 30% of the portfolio, hopefully, at a different multiple than 6 times, which is where today we are trading. Third, use part of that proceeds to basically pay down debt. But even if we do that, it’s not going to be significant to a point of changing the needle from 4 times to 2 times. There wouldn’t be that sort of amounts that would enable us to do that. So it’s all about small and multiple actions, all in the right direction, that will over time bring us to where it should be. Now, again, I want to make sure that I’m not seeking perfection. We are not going to be trading perfection for what’s possible and optimal. But I think the fundamental piece – I don’t know if you’re on the fixed income side, but feels like you’re on the fixed income side, I think the fundamental piece has to be are the three businesses of Marfrig performing as they should, relative to their peers and relative to what they said they would? So if you look at our EBITDA for this year, I’m just putting that as – not as a target, but let’s say it can get to R$1.7 billion, just to put a number, our interest expense, it’s running on an annual basis of 900. We’re talking about a CapEx that is 600. Yes, we are not deleveraging, but the company is what I call base zero, stable, nothing to worry at this point in time. Has been able – so far, the R$1.7 billion EBITDA, if we get there by the end of the year, it reflects an average foreign exchange in real of R$2.29, not R$2.45. So I think the potential uplift of Marfrig’s EBITDA for 2015, provided the performance doesn’t get surprised with too many external missiles that can always happen, we should be going in the direction of a R$2 billion going forward against our target. But it’s just a reflection of the different foreign exchange role.
Daniel Sensel – JPMorgan: Okay. Yes, well, that helps. My only concern is that I think [indiscernible] expense. You’ve done a lot of liability management this year, so besides maybe calling a bond here and there the next couple of years, I don’t see much more that you can do there besides the converts. But, okay. Thank you.
Sergio Agapito Lires Rial: No, thank you. I appreciate.
Ricardo Florence dos Santos: I appreciate.
Operator: Our next question comes from José Yordán, Deutsche Bank.
José J. Yordán – Deutsche Bank: Hi, good morning to everyone. Well, thanks for the thorough presentation. Most of my questions have been answered, except for one. This cost-plus pricing at Keystone and the U.S., in theory, if you have a fixed margin and your cost go down your percentage gross margin should be going up, and yet that’s not happening. So can you help me understand what’s happening here in terms of how these things work? I realize that this is not all cast in stone, et cetera, but, in theory, much lower grain costs should have led to a slightly higher gross margin. And any color you can give us on that would be great.
Sergio Agapito Lires Rial: Can you just make sure that you repeat your question? I want to make sure that – Frank and I, we’re here, I want to make sure that I give you. So you’re saying I’m going to repeat to make sure I understood. You’re saying, okay, the costs may not be completely perfect, but as we move to a lower grain environment why wouldn’t I be seeing higher and expanded gross margin? Is that what the question?
José J. Yordán – Deutsche Bank: Fine, because if you’re making a nickel and your costs are a dollar you’re making 5%. If that same nickel on costs of $0.80 should give you – should be a higher gross margin in general, in theory.
Sergio Agapito Lires Rial: Okay, Frank, would you like to respond?
Frank Ravndal: Yeah, I think on the – we have that model in place for, I would say, the majority of our U.S. business, but not all of it. So we also have a very vibrant key account business, and many of those pricing mechanisms are not based on more of that commodity cost or pass-through plus a specific profit margin type of formula. Even on the part that does have that, it can be a mix issue, too, just in terms of whether it’s more value-oriented items or more premium items at a particular time. But I think we have about half of our sales in the sales in the U.S. really that are – at least half of our sales in the US that are not on that basis.
José J. Yordán – Deutsche Bank: And I guess what happened there was a mix deterioration, or something –?
Frank Ravndal: So when we see on the number of our key account businesses account businesses, when I talk about the impact of the higher meat prices on the outside purchases, that, that has a margin impact that was negative for us this quarter.
José J. Yordán – Deutsche Bank: All right. Understood. Thank you.
Frank Ravndal: Yeah.
Operator: Our next question comes from [Alex Centrella] [ph], Merrill Lynch.
Unidentified Analyst: Good afternoon to everyone. I have a question. If you could just talk about the material factor was released in October. You’re talking about taking ownership of five plants that you leased, or that you have been leasing, since 2009. Sergio, if you could give us some color on, what are the expectations there, and what could possibly be the cost of acquiring these plants, that would be a good start? Thank you.
Sergio Agapito Lires Rial: Very good, thanks for asking. A couple of things we’ve done a number of – we have had a number of initiatives in the beef space in Brazil in terms of footprint. We actually have closed couple of plants. We haven’t done a lot of noise, because there’s no point in creating a lot of noise. There’s one that we have been very vocal about it, which has been Alegrete, in the down in the down south of Brazil, which we have engaged the government and the unions to see whether we can make the plant viable. We’re constantly looking at our footprint. We want to do as much as we do today with fewer plants. So that will be my dream design. I wish I could only have one and do the same amount. That’s certainly technically not possible, but we certainly don’t need 20-plus. So we will be looking, and we continue to look, that’s part of the productivity agenda, which is to really look very closely at our footprint. Now, in the south, and in some of the other plants [Magasoo] [ph], we have this plant leased. We’ve been paying rental for those plants for a number of years, and now have come an opportunity for us to look whether we want to bring that situation from a rental to an ownership. It’s too early to give you more details about what the implications could be. I see this more something of a 2015. Whatever happens has to be in line with a very long tail, because we’re not only just going to be adding debt short-term for the company; we’re just not generating cash for that. So what I want to give the market reassurance is that however we construe, first, we have to be convinced that owning is a better decision long term for the company. Second, how we do it, equally important, because we don’t have a lot of space in the balance sheet to fool around. Third, I think count on seeing more plants also being released. We have a number of plants that are on rental, and I think we will continue looking at that. Andrew Murchie is looking at that, so I would not be surprised if we’re probably going to be freeing up two or three plants between now and end of 2015. So there’s going to be a combination. Remember, the total doesn’t change, but the mix and the design of our plants may change.
Unidentified Analyst: Okay. Can you just give us some color on the capacity for these five plants overall, just so we can do some estimates here in terms of what you’re talking about in terms of valuation?
Sergio Agapito Lires Rial: I mean, you’re going to have to tell me if I can access cattle. Because part of the problem with this plant is not so much – their capacity – is part of the challenge is there isn’t cattle in many of the places where they are. It may change. Not all of them, not all of them, so but I wouldn’t be able to give you right now what the capacity would be, because I know exactly where you want to go. But rest assured that by as early as next year, we’re going to be able to explain to the market, if we come to the decision of really moving to ownership, that we will make [indiscernible] Marfrig so.
Unidentified Analyst: Okay, fair enough. Thank you so much, Sergio.
Operator: This concludes today's question-and-answer session. I would like to invite Mr. Sergio Rial to proceed with his closing statements. Please go ahead, sir.
Sergio Agapito Lires Rial: So thank you very much. Thank you all for being on the call. There are a number of people from different parts of the world, so I really appreciate. It’s been a busy day in terms of release from number of companies, so I appreciate you took the time to listen to our story. I want to thank both Janet and Frank for being here, together with Ricardo and myself. And now, we are working to focus on the fourth quarter. So, hopefully, we will end the year delighting the market, and actually, wherever we can, being even ahead of our own target. We will do everything we can to really end 2014 with a very strong result. So, thank you very much.
Operator: Thank you. That does conclude our Marfrig conference call. Thank you very much for your participation, and have a nice day.